Operator: Good morning. My name is Betsy, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. David Lim, Head of Investor Relations. Please go ahead, Mr. Lim.
David H. Lim: Thank you, and good morning, everyone. I'd like to welcome everyone who is joining us on AAM's second quarter earnings call. Now earlier this morning, we released our second quarter of 2025 earnings announcement, and you could access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR Newswire services. You can also find the supplemental slides for this conference call on the Investor page of our website as well. In addition, to listen to a replay of this call, you can dial 1 (877) 344-7529, replay access code 6368162. This replay will be available through August 15. Before we begin, I'd like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements that are subject to risks and uncertainties, which cannot be predicted or quantified and which may cause future activities and results of operations to differ materially from those discussed. For additional information, please reference Slide 2 of our investor presentation or the press release that was issued today. Also, during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures as well as a reconciliation of the non-GAAP measures to GAAP financial information is available in the presentation. With that, let me turn things over to AAM's Chairman and CEO, David Dauch.
David Charles Dauch: Thank you, David, and good morning, everyone. Thank you for joining us today to discuss AAM's financial results for the second quarter of 2025. Joining me on the call today is Chris May, AAM's Executive Vice President and Chief Financial Officer. To begin, I'll review the highlights of our second quarter financial performance. Then I will touch on some commentary about AAM's recent business developments and discuss guidance. After Chris covers the details of our financial results, we will open up the call for any questions that you all may have. So let's begin. AAM's second quarter 2025 sales were $1.54 billion. AAM's adjusted earnings per share was $0.21 per share. Operating cash flow was $91.9 million and adjusted free cash flow was approximately $49 million. From a profitability perspective, AAM posted year- over-year adjusted EBITDA margin growth in the second quarter, driven by productivity and cost controls. AAM's adjusted EBITDA in the second quarter was $202 million or 13.2% of sales, a 40 basis point improvement versus last year, even with lower sales and a 60 basis point improvement sequentially. Let me talk about some fantastic updates driving our business on all fronts, which you can see on Slide 4 of our investor deck. We are excited to share, both AAM and Dowlais shareholders voted for and in favor of the proposed transaction to create a leading global driveline and metal forming supplier with significant size and scale and with strong customer and geographic diversification. Great news. The complementary nature of the two businesses is anticipated to generate significant shareholder value, yielding an estimated $300 million of cost synergies and strong free cash flow potential. With the positive vote results, we have passed a significant process in our milestone. On the regulatory front, AAM continues to make great progress. Approvals have been received from the U.S., Korea, India, Taiwan, Turkey and the U.K. and the regulatory approval process in Brazil, China, Mexico and the EU are making excellent progress. From a product win perspective, announced in the quarter, it has secured an agreement with Scout Motors to supply both front electric drive units and rear e-Beam axles for the much anticipated launch of the all-new electric Traveler SUV and Terra pickup truck. Both products can be configured with 100% battery electric or range-extended systems. We are honored to support the rebirth of the iconic Scout brand and play a significant role in these important vehicle launches with AAM's award-winning electric drive technology. We anticipate start of production in 2027. This business award supports our selective and targeted electrification growth strategy. It also highlights the depth and breadth of our comprehensive product portfolio, including electric drive units and e-Beam axles. In addition, we have also closed on our divestiture of AAM's India commercial axle business to Bharat Forge Limited on July 1 for approximately $65 million. The sale is a result of our focus to create a long-term value for our stakeholders through our portfolio evaluation and management process. Even with all this exciting activity, we continue to manage our day-to-day businesses as evidenced by our second quarter results. Our focus on operational excellence to control costs, enhance quality and boost productivity. AAM's goal is continuous improvement, and this was on full display in the quarter as our driveline unit experienced margin growth versus last year, and our Metal Forming group has now tailored 5 consecutive quarters of year-over-year margin expansion. In addition, as an overall industry volumes experienced a decline in the quarter, a number of our key truck and SUV programs outperformed the industry, and we expect this to continue, stemming from consumer preferences of these vehicle segments. It's also evident that ICE and ICE hybrid vehicles will have longevity due to American consumer preferences, coupled with recent changes in government policy and incentives. Although AAM is prepared for electrification, a longer ICE tail is good for AAM as we can further leverage our installed fixed asset base and core products. Now let's shift and talk about one of the elements that we are actively managing trade and tariffs. As we all experience, trade policies can pivot quickly. And with that said, I want to briefly touch on several points on how AAM is well positioned to handle this volatility. As we've communicated before, AAM's policy is to buy and build local. As such, approximately 90% of the products that we produce in North America are already USMCA compliant, and we are working to increase that percentage on a go-forward basis. For our North American production needs, nearly all of our steel and aluminum buy is from U.S. sources. We do have some open capacity to relocate manufacturing to the U.S. if needed, and we continue to receive positive business inquiries in our U.S. Metal Forming business unit. Additionally, we will continue to work closely with our customers to mitigate the majority of our -- of the incremental tariff costs and/or pursue recoveries with them. Transitioning to our guidance. We updated our 2025 financial guidance ranges on the strength of our first half results and the resiliency of some of our key product segments. AAM is now targeting sales of $5.75 billion to $5.95 billion, adjusted EBITDA of approximately $695 million to $745 million, and adjusted free cash flow of approximately $175 million to $215 million. Our guidance ranges are supported by an assumed North American production volume of 14.6 million to 15.1 million units. Chris will provide additional details on the assumptions underpinning our guidance. In summary, AAM had a strong first half performance while successfully navigating market uncertainties and changes in trade policy. Additionally, we continue to make progress in cost control, driving margin performance. Concurrently, we continue to advance the Dowlais acquisition by achieving shareholder approvals and making progress on the regulatory matters. We still expect the deal to close in the fourth quarter of 2025. This deal will transform AAM into a premier driveline and metal forming supplier with increased size and scale, positioned to deliver shareholder value. And with that, let me now turn the call over to our Executive Vice President and Chief Financial Officer, Chris May, for the second quarter financial details. Chris?
Christopher John May: Thank you, David, and good morning, everyone. I will cover the financial details of our second quarter 2025 results and our updated guidance with you today. I will also refer to the earnings slide deck as part of my prepared comments. So let's go ahead and begin with sales. In the second quarter of 2025, AAM sales were $1.54 billion compared to $1.63 billion in the second quarter of 2024. Slide 7 shows a walk of second quarter 2024 sales to second quarter 2025 sales. Volume, mix and other was lower by approximately $102 million, primarily driven by lower overall volumes compared to a year ago. Metal market pass-throughs and FX increased sales by approximately $11 million. The majority of this is related to foreign exchange, particularly from the strengthening euro. Now let's move on to profitability. Gross profit was $200.7 million in the second quarter of 2025 as compared to $217.3 million in the second quarter of 2024. For the second quarter of 2025, adjusted EBITDA was $202.2 million and adjusted EBITDA margin was 13.2% versus $208.4 million and 12.8% last year. You can see a year-over-year walk down of adjusted EBITDA on Slide 8. In the quarter, adjusted EBITDA was lower due to volume mix and other by $23 million versus the prior year, resulting in a decremental margin of approximately 23%. R&D was lower year-over-year by $8 million as we continue to optimize our engineering spend. And lastly, performance and other was favorable by $9 million. This year-over-year favorability was driven by adjusted EBITDA margin improvements by both of AAM's business units. Driveline's margin increased approximately 30 basis points to 13.8%, while Metal Forming margins increased approximately 20 basis points to 8.9% from last year. AAM remains focused on productivity, efficiency and cost optimization in all areas of our business and our trends and results are demonstrating this. Let me now cover SG&A. SG&A expense, including R&D, in the second quarter of 2025 was $100.8 million or 6.6% of sales. This compares to $105.2 million or 6.4% of sales in the second quarter of 2024. AAM's R&D spending in the second quarter of 2025 was approximately $36 million. For the full year, we continue to anticipate R&D expense to be down on a year-over-year basis by approximately $20 million resulting from current market requirements and continued focus on spend optimization. Let's move on to interest and taxes. Net interest expense was $37.5 million in the second quarter of 2025 compared to $41.8 million in the second quarter of 2024. Our lower interest expense was due to lower weighted average interest rates of our outstanding long- term debt and lower year-over-year debt balances. In the second quarter of 2025, we recorded income tax expense of $28.1 million compared to $17.2 million in the second quarter of 2024. For the full year of 2025, we expect our adjusted effective tax rate to be approximately 50%. This elevated book tax rate is due to valuation allowances on certain foreign jurisdictions and interest deduction limitations in the U.S. This book rate excludes the potential benefits from recent U.S. tax legislation. We are evaluating the full impact of this legislation, and we would expect to reflect any benefits in the third quarter. As for cash taxes, we expect approximately $70 million to $75 million this year. Taking all these sales and cost drivers into account, our GAAP net income was $39.3 million or $0.32 per share in the second quarter of 2025 compared to net income of $18.2 million or $0.15 per share in the second quarter of 2024. Adjusted earnings per share, which excludes the impact of items noted in our earnings press release, was $0.21 per share in the second quarter of 2025 compared to earnings per share of $0.19 for the second quarter of 2024. Let's now move on to cash flow and the balance sheet. Net cash provided by operating activities for the second quarter of 2025 was $91.9 million compared to $142.8 million in the second quarter of 2024. Capital expenditures, net of the proceeds from the sale of property, plant and equipment for the second quarter of 2025 were $52.9 million. Cash payments for restructuring and acquisition- related activity for the second quarter of 2025 were $9.7 million. Reflecting the impact of these activities, AAM's adjusted free cash flow was $48.7 million in the second quarter of 2025. From a debt leverage perspective, we ended the quarter with net debt of $2.0 billion and LTM adjusted EBITDA of $715 million, calculating a net leverage ratio of 2.8x at June 30, 2025. We also maintained a strong cash position of nearly $600 million. AAM ended the quarter with total available liquidity of over $1.5 billion, consisting of available cash and borrowing capacity on our global credit facilities. Before we dive a little deeper into our updated guidance, let's touch on tariffs. As a quick reminder, the following is our potential direct tariff exposure profile. Most of the products we ship to our customers in North America are USMCA compliant. Almost all of our AAM steel and aluminum consumed in North America is from U.S.-based sources. So we are generally in a very good spot with these commodities. For our U.S. operations, we import from Mexico approximately $100 million on an annual basis, the majority of which is USMCA compliant. We import from Canada approximately $25 million on an annual basis, the majority of which is also USMCA compliant. We directly import very little from China into the U.S. and therefore, have very minimal exposures here. And lastly, AAM's Rest of the World import exposures are approximately $100 million of annualized values, and we are working to mitigate these exposures plus any additional exposures our supply base may have while gaining clarity on final tariff agreements. Our intent is to mitigate a majority of incremental tariff costs, which include working with our OEM customers to receive recoveries. Given the nature of this process, the timing of recoveries can lag. As such, we incurred incremental tariff costs of approximately $10 million in the second quarter. We are assuming to receive offsets starting in the second half of the year. We anticipate the full year 2025 net impact to be approximately $10 million to $15 million after mitigation and customer recoveries. With that background in place, let's talk about our guidance on Slide 5. Our outlook has been adjusted from the previous targets, which were provided on May 2. Our updated targets are as follows: for sales, our new range is $5.75 billion to $5.95 billion versus $5.65 billion to $5.95 billion previously. This sales target is based on a North American production range of 14.6 million to 15.1 million units and certain assumptions for our key programs. We continue to anticipate GM's full-size pickup and SUV production in the range of 1.3 million to 1.4 million units. From an EBITDA perspective, the range is now $695 million to $745 million versus $665 million to $745 million previously. We now anticipate adjusted free cash flow in the range of $175 million to $215 million. Our CapEx assumption is unchanged at approximately 5% of sales as we ready the organization for important upcoming launches, especially for one of our major truck programs. In addition, while not included in our adjusted free cash flow figures, we estimate our restructuring related cash payments for AAM as a stand-alone entity to continue to be in the range of $20 million to $30 million for 2025 as we look to further optimize our business and further reduce fixed costs. We underscore that the guidance figures we are providing today are on an AAM stand-alone pre- combination basis and excludes any costs or expenses related to our announced Dowlais transaction. AAM delivered good first half results, and all the second half includes some extended customer downtime, particularly in the third quarter and a slight uptick in the second half launch costs in preparation for upcoming programs, we are excited about our fundamental underlying performance improvements carrying into 2026. Simply, we expect continued improvement in both of our business units, further fixed cost reductions to align capacity and tightly controlled spending. In sum, these factors should benefit future periods. Thank you for your time and participation on the call today. I'm going to stop here and turn the call back over to David so we can start the Q&A. David?
David H. Lim: Thank you, Chris and David. We have reserved some time to take questions. I would ask that you please limit your questions to no more than 2. So at this time, please feel free to proceed with any questions you may have.
Operator: [Operator Instructions] Your first question today comes from Joe Spak with UBS.
Joseph Robert Spak: Chris, maybe if we could just sort of get -- I know you should provide some of the overarching points for your guidance. Maybe just some thoughts on T1 production levels for the year, maybe even cadence in the back half, given we've seen some of the downtime announcements at Silao. But then if you look at S&P, also looks like some pretty low levels in the fourth quarter, which maybe there's some upside to that. So just wondering how you're thinking about that for the back half of the year.
Christopher John May: Yes. No, great question, Joe. Obviously, that's a key platform for our business. As I mentioned in the prepared remarks, our range that we assume for the year is 1.3 million to 1.4 million units. You will face in terms of just cadence through the year. Obviously, the first half of the year was pretty strong. Almost about half of that was built at the high end, meaning closer to 700,000 in the first half of the year. The second half, obviously, would fall normal cadences associated with seasonality and production days, Q3 versus Q4. And then lastly, as you mentioned or maybe second to last, we did experience a little bit of some extra downtime, pretty much already almost behind us here in the third quarter related to Silao. But that said, we are, as a franchise, quite bullish on that platform. If you think about the range we provided in the context of that, the HD platform continues to run very strong. The SUV platform continues to run very strong. You even see the light-duty truck inventories only in the 60-day range at this point in time. So we continue to be bullish on that, but the cadence would follow probably more of a seasonality in terms of the second half. You can pick your macro number that you want to use for that and a little bit of downtime related to silao in the third quarter. Hopefully, that helps and provide some context for you.
Joseph Robert Spak: Yes. And then I guess the second question, just sticking on GM, but want to tie in some other elements here with the longer tail for ICE and sort of their announcement to onshore some, especially T1 capacity to the U.S. How you're thinking about that for Axle? It seems like the incremental SUV production is almost unabashedly a positive, but wanted to get your point of view on that and whether even there's -- once the Dowlais deal closed, whether there's even an opportunity for some additional content from that onshoring.
David Charles Dauch: Yes, John, this is David. Obviously, Chris, and you just talked about the T1XX volumes. GM's announced product plans to shift some of their production around to the U.S. operations. Clearly, we've got the flexibility and the capacity to be able to support that. We'll have to make some adjustments to our global operations to do that, but we're working with General Motors with respect to what needs to be done in that area there. So we're encouraged and pleased with that. I mean, obviously, our policy is to buy and build local and our parts tend to be a little bit larger. So therefore, we need to be closer in proximity to the assembly plants. And if GM is shifting that production, which they are, then we need to make the necessary adjustments in concert with them, and we'll do that. With respect to Dowlais, assuming that everything closes in the fourth quarter, which is on track to do, it's just going to give us even more flexibility in the U.S. or even globally to support all customers, not just GM, but all customers. And we do expect that there'll be some content gains for us on the T1XX based on Dowlais position on those programs.
Operator: The next question comes from Tom Narayan with RBC.
Gautam Narayan: I remember you guys mentioning that there was some extra plant due diligence at Dowlais that you still had yet to do and that, that potentially could create some upside to the synergy total that you have. Just curious, I know you guys got the deal approval from the Dowlais side. Congrats on that. Just curious if -- where we were on that extra plant due diligence? And then I have a follow-up.
David Charles Dauch: Yes, Tom, this is David. Good question. Now that we've got the shareholder approval from both sides, we're now able to spend more time with Dowlais, get more information that we need in order to do the proper assessment on the manufacturing portion of the synergy side. We are also starting to get into more of their plants, which will give us an opportunity to have a better assessment of what that true opportunity is. We still feel that there's some upside potential there. We can't quantify that at this point in time. At the same time, on the purchasing side of things, clearly, we're dealing with a challenging and uncertain market with the tariffs and the policy changes. So we'll continue to manage that appropriately. We still feel confident about what we can do in the synergy area there based on what we've communicated already. But still ongoing, I guess, is the best way to answer it, but we're hopeful that there'll be incremental upside still on the operations side.
Gautam Narayan: Great. And my follow-up on the tariff side, just a quick housekeeping. The $10 million in Q2 and then the total is $10 million to $15 million for the full year after mitigation recoveries. Just curious where that is coming from specifically? Is that rest of the world piece? And then on tariffs in general, are you hearing maybe too early, but reshoring potentially now we have the EU, Korea, Japan deals done. Like have those OEMs talked at all about that with you guys?
Christopher John May: Tom, this is Chris. I'll take the first part of your question as it relates to the $10 million. It comes from -- the majority of that is through rest of world scenarios in terms of how it finds their way into our U.S. operations. That would be correct. It's not -- obviously, we are primarily USMCA compliant for our Mexico and Canadian imports. So it's primarily rest of world.
David Charles Dauch: And then Tom, this is David. In regards to the second part of your question, we are receiving several inquiries from many of the global OEMs that are looking to localize production capability or component capability to the U.S. to address the tariff issues that are out there. That's positive for us in regard, especially for our metal forming business unit. But we're seeing it from the Europeans and all the Asians as well with respect to those inquiries. So it's still early, but we're working that process right now. And hopefully, we can conquest new business going forward.
Operator: Next question comes from Itay Michaeli with TD Cowen.
Itay Michaeli: Great. Thanks. Good morning, everybody. Just a bigger picture question. I'm curious what you think some of the changes in emissions regulations at the federal level and other levels could mean for American Axle over the next couple of years, both in terms of mix and just key program volume. I'm curious if you've had discussions yet on that with some of your customers.
David Charles Dauch: So Itay, this is David. Obviously, as I said in my prepared remarks, first of all, the consumer has showing what their preference is for ICE and ICE hybrid-type vehicles, but there's still a need for electrification. It's just that electrification demand is slowing down to what the prognosticators were saying. There's still significant progress being made on ICE vehicles and ICE and hybrid as it relates to fuel economy performance. As you all know, there was a significant bill associated with trying to convert things to electrification. So it's going to benefit not only the OEMs as far as less capital investment, but will also benefit the supply base, including American Axle in regards to using our installed fixed capacity and leverage of our core components and our products that we have today. I still believe in electrification. I've always said that I think it's going to be adopted or accepted in the U.S. market slower than it is in China or globally around the world. And that's really starting to play out and pan out the way we thought and the way we've planned our business. But at the same time, we have to be agnostic to the market from a propulsion standpoint, and that's what we're doing is preparing ourselves where we have an extensive portfolio of ICE, hybrid and electrification. And the Dowlais acquisition will just complement that and give us a more comprehensive portfolio there. But customer wise, I mean, they're evaluating everything as far as continuing to push ICE, looking at hybrids because there is an increased demand for hybrids and electrification. There's still a desire for electrification. Obviously, we wouldn't have gone after Scout if we didn't think that there was a true market for that. But we're very encouraged with where we're seeing balance now in regards to the approach towards multiple propulsion systems.
Itay Michaeli: That's very helpful, David. And as a quick follow-up, I think, Chris, you mentioned some launch costs second half of the year to support programs in 2026. Any way you can roughly quantify what those launch costs, how we should think about them?
Christopher John May: Yes. I would think it will bottom around $5 million to $10 million in the back half of the year versus, -- let's say, versus what we experienced in the first half. And it aligns with sort of our capital timing that we've been talking about as well.
Operator: The next question comes from James Picariello with BMP.
Thomas Jacob Scholl: This is Jake on for James. So I just wanted to spend a second talking about the steel and aluminum tariffs. Could you discuss just first, if there's any direct impact on your business? And then can you remind us what portion of your steel exposure is covered by contractual recoveries?
Christopher John May: Yes. James, this is Chris. In terms of steel and aluminum, primarily all of our steel and aluminum that we procure or consume inside the United States, we procure from U.S. sources. So we are largely exempt from any tariff exposures associated with that. There are some small tool steel type elements, but very minor that we would incur from that perspective. So I think we're in a really good spot as it relates to our primary production consumption of steel and aluminum. And the second part of your question was what?
Thomas Jacob Scholl: Just about recovery.
Christopher John May: Recovery. So the primary element of recovery is all the commodity pass-throughs in terms of the input costs to our steel is passed along to our customers by contract either every 30 days or 90 days depending on the customer. So we're primarily covered call it, 80% to 90% in terms of those cost increases or decreases we would pass through as well. And those markets surprisingly have been relatively stable in the last quarter or so.
Thomas Jacob Scholl: Got it. And then obviously, the Scout Award is a pretty significant validation of your e-Beam capability. Are you able to share whether you guys are also able to leverage your proprietary e-Drive in the program or whether it's leveraging more off-the-shelf parts?
David Charles Dauch: No. We clearly leveraged our IP and our own capability. At the same time, we work closely with the Scout team and the VW Group in regards to what they were looking for, for the specific vehicles that we are developing products for. But this is a testament to the comprehensive portfolio that we have. We've been positioned for electrification for quite some time. At the same time, we're going to continue to make investments in electrification, but on a balanced basis. We just want to make sure we have a comprehensive proposal that gives us the vertical integration capability that can satisfy customer needs, whether it's component subassembly or the full complete systems. And in this case, we're winning complete systems with respect to both e-Beam and EDUs. So very big win for us. validation of our technology and capability at the same time, sends the message to the marketplace that we do have the ability to satisfy ICE, hybrid and electrification.
Operator: The next question comes from Edison Yu with Deutsche Bank.
Xin Yu: I want to ask about Europe. Obviously, with the acquisition, you're going to be much more deeper and have a much higher -- much more business there. What's the latest thinking, I guess, on just the market, getting more into that market and also kind of the regulatory backdrop of that?
David Charles Dauch: Yes, this is David. Listen, we're very excited about the acquisition of Dowlais. The strategic combination is very powerful. As we indicated, it's going to give us more balance from a customer diversification and geographic diversification. We're heavily concentrated in North America as a stand-alone, meaning AAM. We'll get more balanced with the Dowlais combination. But Europe becomes approximately 30-plus percent of our overall business. We recognize that market is challenged right now. It's down from where it typically runs in the 20 million, 22 million units. It's down running 17 million, 18 million units. We recognize some of the restructuring going on there. But Dowlais is very well positioned with their customers there from a product standpoint. At the same time, as you're aware, Dowlais has been going through some of their own restructuring efforts on the automotive side of their business, both in North America as well as in Europe. And they are close to completing that. So we're actually getting a hold of this business at the appropriate time. And what we're going to be able to do is bring a more comprehensive and expansive portfolio to those markets, which will allow us to hopefully cross-sell capabilities with customers there. At the same time, we'll continue to look at our portfolio and our manufacturing locations as well as theirs. And if there's further optimization that we can do to get better utilization of the factories and drive more synergies, then we'll pursue that as well. But we're very excited about how they're positioned themselves in Europe and how we're positioned in Europe, knowing that we're still doing some restructuring ourselves there based on the Tekfor acquisition. But overall, I think we'll be very well positioned to satisfy the European market on a go-forward basis.
Xin Yu: Understood. Understood. Then just, I guess, a logistical housekeeping question on the deal. I think the shareholder vote happened a bit sooner, maybe a couple of months sooner than you may have thought. Is that fair? Or was the timing actually on track, the shareholder votes?
David Charles Dauch: No. The timing was on track. So we had our shareholder approval on July 15. They had theirs on July 22. We were able to do a number of shareholder meetings, both in the U.S. as well as in Europe to support those votes. And obviously, they came back unanimously in favor of the deal, both shareholders, which was a strong message in itself. So it supports our thesis of strategically bringing these businesses together to deal with uncertainty in the marketplace, which only continues to become larger -- a larger issue. And I think we'll be stronger when it's all said and done when we come together. So very excited about the combination. But everything was on track.
Operator: The next question comes from Federico Merendi with Bank of America.
Federico Merendi: I have a question on the free cash flow generation in the second half of the year. So if I look at the EBITDA, it's largely flat first half versus second half, but there is a meaningful step up in free cash flow. What is driving that?
Christopher John May: Yes. Federico, this is Chris. Yes, in terms of our free cash flow profile, very customary for us through the course of our 4 quarters each year, we would have -- it's primarily focused on the working capital element of our business. Generally speaking, we have a large outflow in the first quarter. We have a large inflow in the fourth quarter, and that principally relates to the timing of our sales, how you're ramping down sales through the fourth quarter into the Christmas holidays. The opposite is happening in the first quarter where you're ramping up on those to generally what's typically a stronger March. So you would have a stronger fourth quarter working capital element, think of receivables primarily. The other element inside of that is we continue to anticipate some strength in our working capital cash conversion as it relates to inventory in the back half versus the first half. So that will also drive some cash flow for us. The rest of the elements, CapEx, a little bit heavier weighted in the second half. Obviously, your profitability flow-through as well will be very similar in each of these periods. But it's principally that working capital piece that I mentioned.
Federico Merendi: Got it. And on a more long-term perspective on free cash flow, I mean, it's all positive that you're getting quotes from customers around the world that they may relocate to the U.S. and GM is potentially moving some production into the U.S. But I would assume that you guys have to put more capital in the business. And I was wondering how should we think about cash flow generation in the future post-deal closure and the deleveraging portion of the story?
Christopher John May: Yes. I'll take that sort of the capital piece of this, Federico, if you think about it. If you look at some of our recent materials that we have published, especially in relation to our combination with Dowlais and the cash flow generation potential of the company is significant. But it also brings us greater capacity and scale that allows us to pivot with some of our customers' moves inside of whatever they decide to put their production, whether it's in Europe or in U.S., we'll have a greater footprint to leverage, which would require then less capital intensity for some of those changes as well. But we still continue to see a very strong free cash flow generating capability of a stand-alone American Axle, and we would expect to have that in even greater scale when we combine with Dowlais, even accommodating some of the elements that you just described.
Operator: The last question today comes from Doug Karson with Bank of America.
Douglas Evan Karson: Nice work this quarter. I don't want to get ahead of myself, but we definitely have bondholders on the call here. And maybe just help refresh us of how you envision the balance sheet with this acquisition. Obviously, it close to double the size of the company, which is a positive typically for credit investors. But maybe just kind of touch again on the balance sheet and maybe perhaps what type of capital investment you may need and how it would affect your cash flow to kind of get this business where you want it in the next few years?
Christopher John May: Yes. I guess we'll start in reverse in terms of the cash flow. I guess I would tie in a little bit to the commentary of the previous question. We would expect to continue to have very strong cash flow as it relates for the combined entity. And if you look at some of our materials on a pro forma basis, based on our '23 and '24 historical performance, we're running near approximately 5% of revenue. So with the synergies involved in that number as well, and it's a pretty powerful combined group to generate from a cash flow perspective. Look, we'll go to market here to take out our final financing like here to continue to strengthen our balance sheet and finance the transaction. I think we will bring on some additional debt to do so. But our goal is to deleverage quickly, especially in terms of the first couple of steps. Our primary goal will be to strengthen the balance sheet as we come out of the combined combination using that cash flow. And then after we get towards our target of 2.5x of our -- an immediate step, we'll then expand our capital allocation a little bit broader. But our focus will continue to be to strengthen that balance sheet and continue to grind down that leverage ratio back on the back of our strong EBITDA performance and our cash flow generation.
Douglas Evan Karson: That's helpful. And have you guys come out with a range of where leverage would go kind of post closure? I think your leverage has been coming down over the last few years following the story. And I guess I just wanted to make sure I wasn't missing where leverage is expected to be after the close. I think your net debt right now is $2 billion and net leverage ratio is 2.8x. So I just wondering if we have a sense of kind of just a rough framework of where it would be kind of post close?
Christopher John May: Yes. When we announced the transaction earlier in the year, we were just under 3, sort of that 2.8, 2.9x depending on the quarter. And we are driving towards trying to be approximately leverage neutral at close. Obviously, our guidance of both companies has moved around a little bit here this year, but that is still what we're striving for. And that would be at close on an actual basis.
David Charles Dauch: Doug, this is David. As a stand-alone company, we've said that we wanted to try to work our way towards less than 2x. With Dowlais, we're going to continue to work towards 2x. But we also said that because we're going to have a larger company and more robust business model than when we got to that approximately 2.5x or less then we would essentially reevaluate our capital allocation opportunities including shareholder-friendly activities. So that would be the only kind of real change to the current strategy that AAM has. But we're going to continue to focus on paying down debt. We're going to generate a lot of cash from the combined business with the synergies, which is going to open up the opportunity for us to have more opportunities on the capital allocation side.
Douglas Evan Karson: All right. To sum it up, I got it straight. So net leverage coming out of the close of the transaction about where we are now and then grinding that down as a priority to around 2.5 and then going forward once at 2.5, given the company will be larger than redeploying capital, perhaps elsewhere.
David H. Lim: Thank you, Doug. And that concludes the question-and-answer session of the call. We thank all of you who have participated on this call and appreciate your interest in AAM. We certainly look forward to talking with you in the future. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.